Operator: Good day, and welcome to the Sartorius and Sartorius Stedim Biotech Conference Call on the Preliminary Full 2020 Results. Today's conference is being recorded. At this time, I would like to turn the conference over to Dr. Joachim Kreuzburg, CEO. Please go ahead, sir.
Joachim Kreuzburg: Thank you very much and welcome everybody to today’s call in our preliminary results for 2020. As always, this time of the year together with Rainer, our CFO, we would like to inform you about the preliminary results of last year and in addition to that also give you guidance for the year 2021. This time, as we already announced half year results when we talked about our half year figures for last year, we’ll also give you an update on our midterm ambition for the year 2025. We will do that first for the Sartorius Group and then thereafter directly present on the Sartorius Stedim Biotech set of numbers in all those three dimensions. And then after that, we are happy to take your questions.
Rainer Lehmann: Yes. Thank you, Joachim, and hello, everybody, and also welcome from my side to today's call. As Joachim pointed out, we're looking back to quite demanding but also very successful year. So how is this reflected in our figures? Sales revenues rose to 2.3 billion compared to 2019. That’s an increase of 30%. 7 percentage points of that growth are really contributed by the acquisitions, major or basically all of it from the Danaher assets that we purchased May 1, as Joachim just pointed out, and an additional 8 percentage points are attributed to, let's say, corona pandemic effects. Order intake rose by over proportionately, about 49% to 2.83 billion. Here we actually -- how's that comprised? Acquisitions basically contributed here around 11 percentage points and the corona pandemic impact here is a little bit, was double as in the sales figure. It's around 14 percentage points. Of course, these are always best estimates from our side. The strong revenue, of course, trickled down to quite an impressive increase in our underlying EBITDA. It rose by 39% to 692 million. That's an increase of 2.5 percentage points to 29% EBITDA margin.
Joachim Kreuzburg: Thank you, Rainer. Before I walk you through the outlook for 2021, I would like to share some information with you with the most recent acquisition and one agreement about an acquisition that we have closed and all this happened in December and early January. So the first one is the acquisition of WaterSep BioSeparations, a rather small company from the U.S. East Coast, $2.5 million sales revenue, 15 employees.
Operator: . The first question comes from the line of Daniel Wendorff with Commerzbank. Please go ahead.
Daniel Wendorff: Yes. Good afternoon, everyone, and thanks for taking my questions. I’ll start with two, if I may. So the first one is on your underlying order growth in BPS, in particular, that looks as if there was also a positive trend quarter-on-quarter when you look at the order intake growth, excluding the corona effect. Can you give us a bit more detail here on that side? And the second question is on the additional CapEx spending you plan for 2021? Can you provide a bit more detail where that money will go to? And how should we think then about CapEx spending beyond 2021 if you basically pull forward a few of the investments you have planned anyway? Thank you.
Joachim Kreuzburg: Thank you for your questions. So order growth BPS, It was quite significantly impacted indeed by the trend -- or not the trend, but the additional demand from manufacturers of vaccines. So I clearly would say that you're absolutely right. It's even stronger pronounced than the sales revenue growth, of course, as those orders not -- by far, not all were executed in 2020. That's why we carried over quite some orders into 2021 by the way, fully in line with customer expectations. Our delivery times are very healthy I think also in comparison to the market environment overall. But clearly, the driver here has been corona demand and that means predominantly vaccine demand driven. For CapEx 2021, maybe a quick run through the most significant ones. So Germany, in Göttingen, we have just started to break ground for a significant expansion of our membrane casting capacities. By the way, we are also in the middle of an expansion of our R&D capacities here, but that was nothing influenced by what I was talking about before, but still an expansion going on here. We will also with quite some likelihood start an expansion of our filtration capacities here in Göttingen. Also in Germany, we have started now already a significant expansion of our capacity and overall footprint in the equipment business, which is mostly bioreactors. So, the hardware for the bioreactors is manufactured here to quite some extent. And then I move to Puerto Rico. Here we are extending both our bank manufacturing as well as filtration manufacturing capacities. As a reminder, we have built the infrastructure that enables us to do this quite quickly during our massive expansion that we finished in 2019. So the buildings are available for that, but nevertheless we are now putting in the clean room equipment and the manufacturing equipment into those spaces. And we are also building a significant capacity for cell culture media manufacturing. This is in relation to our media business that we have acquired in Israel at the end of 2019. We are expanding the capacities there in Israel as well to some extent, but we are now kicking off or have started to kick off a really very significant expansion of capacities in . To be very transparent, it was our plan to do this anyway. This is a case of an expansion of what our initial plans look like. And then in China, here again extension and exploration. We have started to produce single-use bags in China a while ago. You might remember that we said that this is on our agenda to build up some footprint for manufacturing of single-use products there as well. And what we are doing now is a very significant expansion of that manufacturing capacities and we will also add, and that is the new -- the one is really an exploration and expansion and the other one is even the new manufacturing on the same site clean room capacity for filtration equipment manufacturing. There are a few more than that, as you can imagine probably, like, for example, in Korea, we are expanding our footprint significantly and we'll add even there some assembly capacities for single-use devices. Korea is really a hotbed of bioprocessing Samsung, but not only Samsung, also other players and we are building a facility right next door to Samsung in Songdo. So that would be maybe the highlights on that end.
Daniel Wendorff: Thank you very much. And the question on CapEx spending beyond 2021.
Joachim Kreuzburg: Sorry for that. To be honest, I would hesitate to give you a number. But as you can imagine, more or less all of those expansions won't be completed in 2021. So we will talk about that for sure one way or the other and to some extent also in 2022. Where that number will exactly be then in 2022, bear with us a few months.
Daniel Wendorff: Okay. Thanks very much. I'll jump back in the queue.
Operator: The next question comes from the line of Richard Vosser with JPMorgan. Please go ahead.
Richard Vosser: Hi. Thanks for taking my question. Just thinking about the order book, obviously as was mentioned, very high order book growth in the last two quarters of the year. Just thinking about the timing of realization of that and whether that's changed, whether there's some slowdown in realization on that, or whether it's all in that first half scheduling that you mentioned in your call? Secondly, you mentioned just now delivery time is very healthy. But maybe you could just talk about your capacity and how constrained you are in terms of growth? Is there sort of a maximum level of growth that you can achieve with your capacity as it is now? And then final question just on the midterm guidance in terms of your expectations for the COVID-19 bolus ? Are you assuming that that sort of washed out in '22/'23, or is there now some sustainable element to that business given what we're seeing with the different strains of COVID and different vaccine components that some of the players are announcing different boosters, et cetera? Thanks very much.
Joachim Kreuzburg: Yes, thank you very much. So on your first question, order book, so indeed when you do the math and use full year’s numbers, then one can say that the order book that we have currently represents something like maybe seven months in contrast to five months that usually was the case in our Bioprocess Solutions business, right? So that's definitely the case. Don't misinterpret that as that our average delivery times would be extended by two months or so. That's definitely not the case. It's just what the value of the order book represents. From that, you can already derive that for sure. Not all of this order book is related to H1 sales. That's definitely not the case. And it even goes partially beyond 2021, all right. So, most of that of the order book is for 2021, but not even all of that. Delivery times are healthy but, of course, are challenging clearly. We have added shifts, even beginning of Q2 last year, very substantially. We do everything we can to increase our output by all those operational measures that are at hand and optimization that is possible. We do see the guidance that we are giving here for 2021 as definitely feasible. So we don't have any doubts here. I should add here, of course, always provided that supply chains remain intact. There is a level to our -- there is a limit to the sphere that we can influence, of course. It's clear to everybody, but I just want to mention that. But, of course, looking beyond 2021 and even without having a clear idea where growth should be for 2022, we will need certain of those capacity expansions that I was talking about before, and that is why we really are not – when we say we accelerate them, we are talking really partially about high-speed projects. When I think about how fast we are developing now, the expansion of our membrane casting, which is always a time consuming exercise normally, and also the others. So we definitely will need capacity expansions beyond 2021. For 2021, we feel comfortable provided supply chains remain intact. And then you have, of course, a very good question regarding okay, what about the midterm effect and influence of COVID-19 related business, vaccines, et cetera? As you can imagine, we have worked with a set of possible scenarios. And to some extent, we believe there might be an offset, difficult to model and of course there is no limit to fantasy here. But if we remain to be like stuck in a certain kind of pandemic situation, because if we imagine that something like every six months maybe even people need to be vaccinated, then the question is, okay, what would that really mean going forward in many respects? And if in such a scenario, one would have to question what would that mean for the product pipeline for other fields of indication? Because there will be also a limit for the sheer size of subsystems and the sheer amount of spending that would be possible for pharmaceutical goods. So, I hope you don't get that wrong as to be too conservative or too negative statement, not at all. You know our guidance, but we believe that it would be a very aggressive idea to say, okay, there are all those monoclonal antibodies, all those stem cell-based therapies, all gene therapies in the pipeline, they all come through fantastic growth on that. And still on top of that, we have corona vaccines full throttle. I think that would be a not too realistic scenario. So I believe one way or the other, there will be a certain level of an offset and that is I believe what is reflected in our guidance.
Richard Vosser: Great. Thank you very much.
Operator: The next question comes from the line of Patrick Wood with Bank of America. Please go ahead.
Patrick Wood: Perfect. Thank you very much for taking my questions. I'll keep to two, if I can please. So on the 2025 guide, maybe to ask the question from the LPS side, I appreciate you guys haven't changed that. But just curious on the M&A side, it obviously packs in quite a bit of plan deals on that side. I'm just kind of curious, any update on your thought process on the kinds of assets you're looking for and whether that's changed recently? So that's question one. Question two is similarly connected. You've put in a lot of effort into building up the downstream exposure for you guys and obviously it's been a lighter area. But certain verticals within there, you've got a couple of companies with extremely dominant market shares. I'm just curious strategically, how you're thinking about downstream and the ability to either take share or grow the market on that side? And I'm just curious about the strategy there. Thanks.
Joachim Kreuzburg: Yes, thank you for your questions. So on the first one, I would say pretty much no change of our ideas and our line of thinking there regarding LPS M&A. We are focusing on extending our relevance and our footprint in the life science research segment, which is starting to become the dominant segment in our LPS division as we have planned for. Within that life science research, the position that we have built now is to be a player with quite some relevant portfolio, innovative portfolio in the field what we call bioanalytics, cell analytics now with the offset portfolio, also protein analytics. And we believe that complementary to these technologies, these offerings, there is quite some room for additional innovative technologies. We would be always favoring assets with a decent portion of consumables or recurring revenue for sure. But, of course, it's not really about writing a wish list maybe too much. It's very much rather the field, as I mentioned, and of course we are always rather looking for innovative technologies that help us to further differentiate our offering in that field. You are absolutely right that in downstream processing on bioprocessing side, there are dominant players or in particular one dominant player. But what we clearly see is that this is a field where innovation plays a significant role. Our customers are very much interested in increasing the efficiency of downstream processing. And in addition to that, because that is what I just said related maybe to monoclonal antibody manufacturing mostly. But when we then think of other modalities, gene therapies, for example, then really even a different kind of chromatography technology is necessary as the one that we have acquired when we closed the deal with BIA in October last year. So I believe this is not just a business where it’s about sheer size. I think it's increasingly about innovation and we definitely have a position to sell these kinds of products successfully to our customers. I hope that answers your questions.
Patrick Wood: Yes, it makes sense. There's plenty who are annoyed with the downstream bottleneck. I totally get it. Thank you.
Operator: The next question comes from the line of Markus Gola with Stifel Europe. Please go ahead.
Markus Gola: Great. Thank you and good afternoon. My first question is also vaccine related and it's a bit different between adenovirus-based vaccines and mRNA vaccines. I believe that the adenovirus-based type could outgrow at least volume wise mRNA going into '21 and '22 due to more attractive pricing. And I believe also the adenovirus require more product from the single-use industry. So is it fair to expect that this could be a sequential driver for your single-use products in the course of 2021? And my second question is on talent acquisition. It seems that at least the CDMO industry is increasingly struggling to find the required workers for the growth projects. I wonder whether you see the same challenges in your industry, and can we expect increased labor cost inflation over the next few years in your business? Thank you.
Joachim Kreuzburg: Yes, thank you very much. Two really relevant aspects that you are addressing here. So the first one, you are basically right because of this volume aspect and when you compare adenovirus-based vaccines to mRNA-based vaccines, no doubt about that. The question where, unfortunately, our crystal ball is still too foggy is indeed how it will play out in the market, very, very difficult to tell. Because again, I would fully agree and it's definitely one of the realistic scenarios, but really difficult to say how this will look like in whatever six months from now or so, and I'm sure we will continue to discuss this in our upcoming calls. However, we believe that our exposure to any influence from that is at least limited in so far as we are involved in quite a very healthy set of vaccine projects of different kinds. So, therefore, we don't see ourselves exposed to one or the other in such a pronounced way that it should have a too deep impact on our numbers in both directions, by the way. So I wouldn't encourage anybody to have too much fantasy regarding upside, but I also believe we shouldn't have too much downside risk here. And then talent acquisition, very relevant point and we wouldn't say that we have any initiative, any activity where talent acquisition is a bottleneck that hinders us to execute on any of these activities or initiatives, but definitely experienced talents in this market, particularly also when it comes down to innovative technologies, for example, are rare. That's why we also, of course, investing into developing our own people when it comes to innovative technologies. But, of course, we also have to constantly hire people. I would say that given our much higher visibility in this market, pretty much in all geographies, today, for example, in comparison to five years ago, we are doing fine. But I would always definitely agree it's an important area. So you were also asking on salary -- regarding salary levels. So far, we do not expect any effect of a significance that we should model into our guidance here on top of what we provide you with anyway.
Markus Gola: Okay. Thank you.
Operator: The next question comes from the line of Scott Bardo with Berenberg. Please go ahead.
Scott Bardo: Yes, thank you very much for taking my questions and congratulations on the remarkable performance, certainly the best that I've seen in looking at the company. So a few questions please. Firstly, notably impressive order book for bioprocessing in the fourth quarter, I think 92% growth also. I wonder Dr. Kreuzburg, could you help us understand the composition of that, whether that's leaning more heavily to the instruments or the consumables, that would be helpful? Second question, please. When I look at your guidance for 2021 for Bioprocess or Stedim, I note that you're assuming a sequential deceleration in coronavirus demand from 12 percentage points in 2020 to around 8 percentage points in 2021, which seems a little bit counterintuitive given how early we are in the vaccine rollout and your commanding order book. So I wonder if you could talk to a little bit why we would see a deceleration here. And last question please of this set. I wonder if you could share any thoughts as to whether the delay in European approval of the adenoviral vaccines and/or some of the disruptions or manufacturing expansion bottlenecks that both approved viruses have encountered in Europe has in any way shaped your guidance or been impactful of note to your business. Thank you.
Joachim Kreuzburg: Yes, thank you for those questions. So on the first one, composition of the order book in BPS following the strong growth in Q4, in particular, but as I said before, Q3 was already quite strong. So I would say, definitely a healthy mix. Maybe because I think it's a more relevant figure in terms of just talking about Q4, because here we also have seen quite a decent portion of instruments and systems in that particular quarter. But overall, we definitely see a healthy portion of consumables being part of or being represented in our order book. So, overall, a healthy mix I would say. Then deceleration of corona-related growth and really thank you for the question, because it helps maybe to avoid any misunderstandings here. So we are projecting for BPS 22% to 28% top line growth. And of that, we expect up to 8% additional corona demand. The baseline for that is what we have achieved in 2020. So you could also take the perspective and say, okay, there have been €X million of corona-related business in 2020. This we will also have in 2021. On top of that, we have a certain growth in such business. So, exactly as you would expect, Scott, we do expect a higher volume in euros related to corona-related demand. I hope that clarifies that point. It's not a deceleration in that sense, but maybe it's not an acceleration but it's definitely a higher volume. But, again, thank you for helping clarifying that. And then, again, problem is our crystal ball regarding delay of approvals and bottlenecks. Our view today would be that for the full year of 2020, when we see all those capacity expansions going on, yes, here and there may be delayed, maybe a bottleneck here and there. But overall, we expect that for the full year this should not, maybe I should say yet have any relevant impact. We are talking about a few days, a week here and there. As of today, we wouldn't see a reason to reflect that in our guidance. But, of course, we, as everybody else, are learning every day.
Scott Bardo: Very good. And if I may just squeeze in one quick other question. And again, sorry to sort of dissect the Bioprocess growth that you've just outlined. But if we were to net out the acquisitive effects and the corona demand that you saw in fiscal '20 for Bioprocess, I think you would have had 17% organic growth from your normal business, so to say, according to your numbers, and I think your guidance for 2021 on the same logic implies something like 8% to 14%, if you like from your normal business. You mentioned before some delay in approvals. Has this been a realistic factor in shaping slightly more conservative outlook for a normal growth in '21?
Joachim Kreuzburg: Yes, absolutely. You always have this baseline effect. I think extrapolating and organic growth of 17% or anything around that would be probably a bit too aggressive. And you have outlined the bandwidth for this underlying organic growth. I think the bandwidth is probably a little bit more related to the corona-related growth portion. Therefore, we said there up to 8. That doesn't mean that we have exactly the number for the non-corona-related organic growth. But just to also make sure that you maybe should not focus too much on the lower end of this raw organic growth figure. So in other words, I don't think that this difference would be so big, and rather reflects normal fluctuations from one year to the other.
Scott Bardo: Very good. Thanks very much for the answers.
Operator: The next question comes from the line of Ed Ridley-Day with Redburn. Please go ahead.
Ed Ridley-Day: Hi. Good afternoon and thank you. I would also like to just focus on the outlook and I just want to make sure that I'm not missing anything here. To confirm, firstly, you are involved  more than 80% of the vaccine projects. And certainly, you are involved with all the major vaccine projects to date. And sort of related to this and related to the prior questions, if we look at the amazing efforts of the pharmaceutical industry to date, from the hundreds of millions of doses that have been produced are either in the system or awaiting vaccinations, but we still have a long way to go. We have governments globally who have ordered more than -- well over 4 billion doses to be delivered by the end of '21. So there is that. We've also mentioned that perhaps your portfolio is also well suited to the adenovirus vaccine manufacturing in particular. So with all these different factors and your really fantastic order book in the second half of last year, I just want to make sure that I've not missed anything else regarding aligning that with your bioprocessing growth guidance to '21.
Joachim Kreuzburg: Yes, thank you for your question. It’s, of course, clear where you are heading, whether we are too conservative and sandbagging and so on and so forth. I would say, first of all, yes, we are involved in something like 80% of the vaccine projects. We also are suppliers we believe to all major projects. But then, of course, it becomes really a bit more uncertain when we talk about timing. It's even not really very transparent how many doses, I think you mentioned that, are already produced? How many doses to come? What role -- yes, different types also from maybe different countries will play over time? And then we have to say, there will be certain capacity restrictions one way or the other. I believe we are doing very well in comparison to the market environment, let's put it that way. Our competition is doing also I believe a great job. And you can also read that from their numbers. We may be overachieved those numbers to some extent, but I would -- and there was a question earlier. Okay, are there capacity constraints? And as I already said, we feel very comfortable with what we have guided here for 2021. But I don't think that we have any significant data points today to say, look, 28% is whatever a walk in the park and too conservative. I don't think that this would be a realistic position. I fully understand your comments and your question, but this would be like the next scenario maybe in all respects, and not sure whether we should build our expectation on that.
Ed Ridley-Day: Fair enough. Thank you for the color. And just a very quick follow up. You've made a series of very useful acquisitions in downstream, nice tuck-in technology. Just from a couple of comments earlier, am I to understand that there may be further activity, sort of smaller activity in that this year?
Joachim Kreuzburg: Yes. It's an amazingly active market I can tell you. Yes, there was a very short period of standstill in March, maybe half of April last year and since then there are more opportunities than ever before. And, of course, as you can imagine, as we have a very clear focus and clear set of criteria that we don't find even a too significant portion of that very interesting. But nevertheless, there are interesting targets out there. And therefore, it might be that we will make further acquisitions in 2021. But it also might be that as in 2018, for example, that we will not make any. So both is possible. We feel that our integration processes are well underway in those that we have undertaken. So we would feel sufficient management capacities apart from financing capacities that we definitely have, but also no hurry.
Ed Ridley-Day: Thank you for that.
Operator: The next question comes from the line of Paul Knight with KeyBanc Capital Markets. Please go ahead.
Paul Knight: Thank you and congratulations on the quarter. The question is regarding this supply situation in the industry, does this enable you to perhaps gain share in the industry? And then second question is the mRNA potential is significant. And how do you view that as an opportunity for Sartorius?
Joachim Kreuzburg: Yes. Thank you, Paul. So on the first question, of course, I believe we are again growing a bit stronger than the market and our competitive environment. So, therefore, I definitely would say, yes, we are gaining market share to some extent. It's always difficult to pinpoint that to one year and say, oh, yes, in 2020, we have gained so much market share and this and that. But in general, as over the last couple of years, I believe we are continuously gaining market share, and 2020 was not an exception to that. That's definitely the case I believe. Messenger RNA, that's a good one and of course, not everybody says, hey, what a fantastic technology. What's next there? Immuno-oncology, of course, it's the area that these folks were targeting in the first place. And I definitely would say that there is a very significant opportunity. It looks very, at least promising in theory, what could be achieved here in very, very helpful therapies in areas where new therapies are urgently needed. However, I think there is really a fundamental difference between developing a new therapy and developing a new vaccine because the mode of action of a vaccine is very clear right from the beginning. You want to trigger your immune system, and therefore you have to expose your immune system to some fractions one way or the other of this virus. But that's different for, for example, treating any kind of cancer where you might not understand really how you could kill cancer cells without killing other cells, for example. It's a much more complex and therefore much more you could say also risky and for sure time consuming undertaking. So, therefore, to now imagine and to expect even that from BioNTech, Moderna, , we will see new drugs every year or so based on that technology I think would be by far too optimistic. There is a reason why even though these companies were working on promising pipelines didn't have any product in the market yet. So I really would take that with a grain of salt. But again, it would be fantastic if such drugs would come through.
Paul Knight: Thank you.
Operator: The next question comes from the line of Falko Friedrichs with Deutsche Bank. Please go ahead.
Falko Friedrichs: Thank you. Good afternoon. I have two quick questions left please. Firstly, on FX. So if the rate stays as they are today, could you give us a bit of an idea of the expected headwind in this year in 2021 on both your sales and EBITDA, that would be helpful? And then secondly, a quick follow up on the chromatography space. And where would you say your competitive market share position is now in this field? Would you say you are already in the number two position now or is that still a bit of a stretch?
Joachim Kreuzburg: Yes. Maybe I’ll take the second question first and would then hand over to a Rainer maybe to give you some orientation on ethics. So, I would definitely say that this would be a stretch. We have a very strong major player here that was mentioned before. It's the former GE chromatography business now being part of Danaher under the new branding sativa. And here we are talking about more than 50% market share. And now we definitely would still see Merck Millipore or MilliporeSigma playing a very significant role in that market. And then there are a few other players. So, I definitely don't think that we are -- I wouldn't call ourselves a number two yet. Rainer?
Rainer Lehmann: Yes, on FX, of course, we all need a crystal ball to really answer that question and our assumptions for our line  to the guidance, of course, constant currencies. We’re seeing especially in Q4 quite weakness of the U.S. dollar, which – and always keep in mind that FX has two impacts. One is the realized from the ongoing business and one is the FX of devaluation of open balance sheet positions. Regarding the ones that are ongoing realized, we are hedged very well far below the current rates. So I hope for and if rates remain that high, we would still see – we will not be impacted proportionally to that. But to be honest, it's very, very difficult to project right now what it would mean for the different quarters in this regard, knowing that even in 2020 when we look back, the volatility mainly from the U.S. dollar, specifically Q3, which was quite high from 110 to 117 and then in Q4 going up to year end at 2022. Nobody predicted that. So, therefore, we are hedged at substantially lower rates that you're seeing right now at year end, and therefore should be minimizing certain effects.
Falko Friedrichs: Okay. Thank you.
Operator: We have a follow-up question from the line of Scott Bardo with Berenberg. Please go ahead.
Scott Bardo: Thanks very much guys for the quick follow ups and I promise to be quick. Just for expectation setting purposes, Dr. Kreuzburg, do you see a situation where given the high order book growth that you've seen in fiscal '20 that we could be in a situation for negative order book growth for Bioprocess in 2021? Maybe share some thoughts around that place. And last real quick question. The midterm targets that you set today, has that taken the lights off of your Capital Markets Day later on this year or what additional things should we expect from that event? Thanks.
Joachim Kreuzburg: Yes. So you were asking for order book growth and that's indeed a number that we, of course, do not project. But clearly, you are talking about the math, what might be the growth of order intake in relation to sales revenue growth? Let me answer it in the following way. We have seen a significant expansion from five months to seven months. I think that's the way probably how we should look on it, rather than in million euros. And I believe that a reduction maybe back to -- maybe not to five months, that’s really difficult to project as of now, but maybe to six months or so something like that is definitely possible. Don't get me wrong. I'm not projecting that it’s necessary, but it's definitely possible. Because from experience, we have really seen that if -- that it is in most years really rather around this five months and that seven months, we don't see any reason to expect this to become the new normal. And, of course, the big unknown here is the corona vaccine manufacturing initiatives. Never seen anything like that on a global scale. I think we all know that. And how this exactly will turn out over time, it’s hard to say. But what I can say, Scott, is once we are completely through this, I would rather expect an order book to represent something around five months of annual sales. But does that mean that in the meantime, the euro value of the order book decreases, hard to say. That depends exactly on the speed of this effect and on how the top line growth? Sorry for not being more precise. On our Capital Markets -- I think I am precise as far as I can, maybe, and I hope that helps.
Scott Bardo: It helps.
Joachim Kreuzburg: It helps. And the other one on Capital Markets Day, nope. We definitely still believe that it hopefully wouldn't be too boring to have a Capital Markets Day even with these numbers now out. So it didn’t change our plans in that regard.
Scott Bardo: All right. Thanks, guys.
Joachim Kreuzburg: Thank you very much.
Operator: The next question comes from the line of Virendra Chauhan with AlphaValue. Please go ahead.
Virendra Chauhan: Yes. Good afternoon. Just one from my end. Can you throw some light on the current capacity utilization across your various divisions? Because if I understand rightly, you said the LPS, there was some kind of underutilization especially in 2020 and most of the CapEx that you spoke about is mostly focused on BPS. So just some comments on that would be great. Thank you.
Joachim Kreuzburg: On LPS or also on BPS capacity utilization? LPS you asked for, right?
Virendra Chauhan: No. I asked for what’s the capacity utilization across each of the divisions?
Joachim Kreuzburg: Okay. For LPS to start off with that, very much between the different product segments, we do have segments where we are operating around 90% or so and where some capacity expansions are ongoing at the moment. So to bolster the growth that we are planning for, because from 90% onwards, it becomes, as we all know, really a stretch to go much beyond that. And then there are other segments where capacity utilization for the full year has been significantly lower than that in the course of the, as I said, the shutdown in China and the U.S. But if we take maybe the most recent figures then in such areas, we are operating also around 70%, like weighing  also in that area. In that area, we could still extend also our shift system so that way it's always a little bit a question of where do you relate it on? So LPS in a nutshell I would say, no really significant capacity constraints as of now, as far as we are able to add some capacities in those few areas where we are around 90%. In BPS, we do have some areas where we are also around this 90% mark and those are areas where we are constantly adding smaller chunks of capacity. For example, in the filtration domain, I mentioned these larger capacity additions in Puerto Rico, for example, but of course, there are also smaller by adding automated manufacturing lines in our clean rooms here, for example, in Germany, and some other measures. So the growth that we are projecting and to quite some extent would be also growth rates that we expect for, for example, the filtration business, we feel comfortable to being able to achieve them. But here definitely asset before -- if you factor all those aspects of plant capacity expansions in, we are in quite a number at least in this 80% ballpark where it's really necessary to expand capacities. I hope that helps.
Virendra Chauhan: Thank you.
Joachim Kreuzburg: You're welcome. So, any further questions?
Operator: There are no further questions at this time.
Joachim Kreuzburg: So thank you very much to all of you for participating in this call and for your interest in Sartorius and Sartorius Stedim Biotech. And also thank you for the good discussion and all your questions. Looking forward to our next touch point latest for our Q1 figures, and then, of course, we will also update you on our Capital Markets Day once this is finally fixed. All the best to all of you. Take care. Bye-bye.
Operator: Ladies and gentlemen, the conference has now concluded and you may disconnect your telephone. Thank you for joining and have a pleasant day. Goodbye.